Operator: Welcome to the Second Quarter Investors’ Conference Call. Today’s call is being recorded. Legal counsel requires us to advice that the discussion scheduled today, placed today, may contain forward-looking statements that involve known and unknown risks and uncertainties. Actual results may be materially different from any future results, performance or achievements contemplated in the forward-looking statements. Additional information concerning factors that could cause actual results to materially differ from those in the forward-looking statements, is contained in the company’s annual information form as filed with the Canadian Securities Administrators and in the company’s annual report on Form 40F as filed with the US Securities and Exchange Commission. As a reminder, today’s call is being recorded. Today is Tuesday, July 30, 2013. At this time, for opening remarks and introductions, I’d like to turn the call over to the Founder and Chief Executive Officer, Mr. Jay Hennick. Please go ahead, sir.
Jay Hennick: Thank you, and good morning everyone. As the – as the announcer just stated, I’m the Founder and Chief Executive Officer of the company. And with me today, is Scott Patterson, President and Chief Operating Officer, and John Friedrichsen, Senior Vice President and Chief Financial Officer. This morning, FirstService reported very strong year-over-year results with earnings per share up 29% in an otherwise very busy second quarter. Colliers International posts EBITDA growth of 40% with margins up almost 200 basis points partly as a result of the recent acquisition of Colliers Germany and partly from improved productivity and efficiency as we continue to refine and strengthen our global platform. During the quarter, Colliers also finalized the consolidation of all of its operations in Germany by completing the acquisitions of Colliers Frankfurt and Colliers Dusseldorf and complementing the acquisitions of Colliers operations in Munich, Stuttgart, and Berlin earlier in the year. Having a leadership position in Germany, the anchor of the entire EU is an important part of our strategy. It not only allows us to operate one fully integrated business in Europe, but it also reinforces our ability to better serve our clients, both regionally, and globally. Another important initiative for Colliers during the quarter was the combination of our Americas business, the US, Canada and Latin America, into one business unit. Bringing these operations together, helps us leverage client relationships, and facilitate the common vision and strategy for our service lines in the region including brokerage, corporate solutions, property management, valuation and advisory. And finally, in commercial real estate, winning awards is nothing new. This happens to be an industry the dolo [ph] awards on a regular basis. However, being recognized as one of the world’s top outsourcing firms to the eighth year in a row, being the best commercial real estate advisor in Asia for the first time ever and being ranked in the top four real estate advisors in Europe for the first time make us particularly proud and demonstrate once again the momentum that Colliers is building on a global basis. Revenues at our highly successful residential property management business were up more than 10%. More importantly, we completed a major initiative rebranding all 18 of our regional operations across North America to the FirstService Residential name and brand. Bringing the FirstService Residential brand to the forefront is an important part of our ambitious growth plans for this division. By unifying all of our operations under one powerful brand, we can better showcase our market leadership and commitment to service excellence while leveraging our industry leading strengths for the benefit of both our clients and our shareholders. In property services, EBITDA was up 4% and margin was up significantly on the strength of 12% revenue growth at the FirstService Brand business. Field Asset is finally stabilized with its current revenue run rate and we look forward to profitable growth for the balance of the year and beyond. And corporately, during the quarter, FirstService simplified its capital structure by eliminating its outstanding preferred shares and instituting a dividend policy on our common shares. In addition to the 19% annualized internal rate of return, our shareholders have received on their investment in FirstService shares over the past 18 years, our new dividend provide shareholders with yet one more source of investment income. However, paying dividends also introduces the company to a growing universe of investors who only invest in dividend paying stocks thereby increasing our traditional shareholder base and increasing the liquidity of our shares both of which have helped our market performance. Now, before we open things up to questions, let me turn things over to John for more of the financial details from the quarter and then Scott will provide his operational report. John.
John Friedrichsen: Thank you, Jay. As announced in our press release earlier this morning and by Jay in his opening remarks, FirstService reported a very solid overall results in a very busy second quarter was strong contributions from Colliers International, FirstService Residential and FirstService Brands and a modest contribution from our now stabilized property preservation and distressed asset management operation, all in the context of market conditions that continue to show recovery, but with a varying pace depending on the region. The following is a summary of our consolidated results for a second quarter. Revenues increased 1% at $601.9 million from $593.2 million last year with overall internal growth flat and a growth in the quarter of biddable [ph] acquisitions. Adjusted EBITDA increased 13% to $46.4 million from $41.2 million last year and overall margin up 80 basis points to 7.7% compared to 6.9% last year. And adjusted EPS came in at $0.58 up 29% versus $0.45 we reported in our second quarter last year. As outlined in our press release and summary financial and results released this morning, adjusted EPS includes certain adjustments to EPS as determined under GAAP. We believe adjusted EPS is a useful measure for investors because it provides a clear picture of the underlying operating performance of the business and enhances the comparability of operating results from period to period. This measure is outlined in detail in our release and consistent with our approach in disclosures in prior periods. Before moving to our cashflow and balance sheet, I would like to highlight the contribution of our Colliers International, FirstService Residential and FirstService Brands to our overall consolidated results, putting aside two things that mask the collective contribution from these operations during our second quarter. Those being a decline in revenues at our property preservation and distressed asset management operation and the onetime branding and related costs at our FirstService Residential business, both of which were expected and both of which were discussed in previous conference calls. Excluding these two items, the collective contribution to our growth and revenues and adjusted EBITDA from these three operations in the quarter was 8% and 16% respectively compared to our second quarter last year underpinning the momentum we have going into the second half of the year and beyond. A further note, a onetime branding of related costs negatively impacted our adjusted EPS by $0.07 for the quarter, and these expenses are adjusted EPS where they’ve been up 44% over last year. During the cashflow, we reported about $18 million in operating cash for the quarter roughly flat with their second quarter last year and negatively impacted by the onetime branding and really the expenses in our FirstService Residential business as to previously discussed. We expect our cashflow to improve substantially in the second half of the year as positive seasonal factors impact our operations and reported results. During the quarter, we continue to allocate our capital diligently with about $8 million invested in acquisitions, most of which related to completion of the Colliers Germany acquisition initiated in our first quarter and the further $6 million invested in capital expenditures. We are on track to invest in a range of $35 million to $40 million in CapEx this year, an amount that’s well within our self-imposed historical limits relative to our annual revenue and EBITDA, and down from last year, when we incurred a significant spend related to the consolidation and relocation of our Colliers UK operation in London. During the quarter, we repaid $20 million of our principal payment on our 5.44% notes issued in 2005. It’s essentially, funding this to a revolver at an interest rate of about 2%, thereby favorably impacting our interest cost going forward. Moving to our balance sheet, our net debt position at the quarter end was $462 million compared to $419 million at the end of our first quarter, and our leverage expressed in terms of net debt to trailing 12-month EBITDA was 2.6 times – excluding the $77 million of unsecured 6.5% convertible debentures due in 2014, our net debt stood at $385 million with leverage at about 2.1 times. During the quarter, we completed a previously announced conversation and the redemption of 7% preferred share is using approximately $39 million in cash initially $2.9 million additional common shares. In so doing, we simplified our capital structure, increased and market capital of common share, the outstanding and institute a more heavily or institute a more broadly based, quarterly dividend payable on our common shares, the first to which was paid just after the end of our second quarter. And finally, in terms of our financial capacity, with cash on hand and committed availability under our revolver, we have about $170 million of liquidity level ample to fund operations and investments that will deliver above average returns to our shareholders in the future. Now, over to Scott for the operational highlights. Scott.
Scott Patterson: Thank you, John. As I usually do, I will start my divisional review with Colliers. You heard from Jay and John that we generated solid results in commercial real estate up 7%, approximately half from the acquisition of the Collier’s Germany operation and half organic. Organic growth globally was led by gain in the US, Latin America, Australia and Central and Eastern Europe. By service line, our growth globally was driven by a 10% increase in sales commissions and supported by solid, single-digit growth and appraisals, leasing, property management and other revenue in the aggregate was approximately flat year over year. Colliers generated an EBITDA margin of 8% for the quarter up 6.1% from the prior year driven primarily by continuing margin enhancement in the US and improved profitability in Central and Eastern Europe. The division also benefitted from the addition of the profitable German operations. Taking a closer look at our Americas region, revenues were up 4%, driven by solid investment sales increases across the region. By country, we enjoyed mid-single digit gains in the US and strong mid teen [ph] increases in Latin America that were tempered by flat year over year results in Canada. We generated a high single-digit margin in the Americas for the quarter, up 150 basis points from the prior year. The result of operating the leverage and broker productivity increases in the US and increases in Latin America driven by the strong, higher margin investment sales and activity. Looking forward for the Americas, there’s currently some uncertainty in the market particularly north America, as the recent increase in long term rates seems to have given pause to the market. That said, based on our pipe lines and activity levels today, we’re optimistic that we will show year-over-year revenue and margin gains for the balance of the year. In our Asia-Pac region, revenues were up modestly driven by mid-single digit increases across all major business lines in Australia and New Zealand, partially offset by revenue decline in Asia. The decline in Asia was primarily due to decreases during the quarter in investment sales in Hong Kong. The result of a very few large deals in the prior year, and therefore a tough comparison, but also due to an increase earlier this year in Shamp Duties [ph] in Hong Kong and commercial sales, which drove market transaction volumes down 40% from prior year levels. Revenues from our other major operations in the region including China, Singapore and India were approximately flat with the prior year. For the quarter in Asia-Pac, we generated a low double-digit margin, up a bit from the prior year due to reduced margins in Hong Kong relating to the decline in investment sales revenues. Margins outside of Hong Kong were in the aggregate up slightly over prior year. Looking forward in Asia-Pac, we expect to show modest single digit growth for the balance of the year. Market growth is tempered somewhat in both Australia and China where our pipelines are generally solid and we remain optimistic about the balance of the year. In our Europe region, revenues were up 20% plus for the quarter, almost entirely due to the acquisition of Colliers Germany at the beginning of the quarter. Excluding the German business, revenues grew by a low single-digit rate with solid gains in Central and Eastern Europe and Russia, offset in part by a revenue decline in the UK. The declines in the UK are primarily time related. Our EMEA region, generate a modest single-digit margin for the quarter compared to a loss in the prior year. Profitability improved across all operations in Central and Eastern Europe, and of course the region benefited from the addition of the profitable German business. Looking forward for our Europe business, we expect to show year over year organic revenue growth across all major operations with continued margin improvement. In addition, we look for our German operations to meet or exceed the expectation we put forward in our last conference call of $40 million in revenue for the nine-month period and an EBITDA margin of 10% plus. In summary for Colliers, we are pleased with the second quarter and the first half of 2013, and are optimistic that we will show continued organic growth and margin enhancement through the balance of the year. Moving to residential property management. Revenues were $234.8 million for the quarter, up 10% over the prior year almost all organic growth, driven by new contract wins and increases in management fee revenue. The ancillary revenue were approximately flat for the quarter. We experienced strong growth in each of our four regions across North America. I have noted in our polls over the last year that we have increasingly seen developers back in the market. This quarter new development accounted for approximately 20% of our growth, which is the highest level we have seen in some time. The balance came primarily from competitors but also from self-managed communities, switching to professional management. Our EBITDA margin in the quarter was 6.4% compared to 8.8% in the prior year. The decline primarily the result of re-branding, including related IT and other onetime expenses that totaled approximately $4 million for the quarter. As you know, our 18 separate local brands across North America came together as First Service residential on June 27. The investment and re-branding in our technology platform to support will approximate $6 million next year. We have incurred a little over $5 million year to date and expect further third quarter spent primarily in signage that will come in at less than $1 million. As we mentioned in our last few calls, we are very excited about the re-branding and are confident the investment will yield significant long-term benefit for our clients and shareholders. Our margin for the quarter was also impacted to a lesser extent, approximately 50 basis points by continued volume reductions in our high margin collection business, which is counter-cyclical to the strength in the housing market. The margin from our core management business result slightly over the prior year quarter due to operating leverage. Looking forward at First Service residential, we expect to continue to generate solid organic growth driven to our market share gains and new development. In our property services division, which comprises Field Asset Services and First Service brands, revenues were in lined with expectation at $55.8 million for the quarter, down from $87.5 million in the prior year quarter as a result of revenue declines at FAS. FirstService brands continued its strong performance this year with revenues that were up 12% year over year. Our Field Assets generated revenue of slightly less than $20 million. A similar level through the first quarter of this year, but down from $50 million plus in the second quarter of last year. Looking first at FirstService brands, the double-digit growth continues to be driven by our major franchise systems. All data restoration, served the propane [ph] and in particular, California closets. Key matrix such as leads and average job size continue to be strong supported by a robust home improvement market. Our current base activity levels and bookings point to similar year over year growth for the second half of 2013. The margin for the seasonally strong second quarter, our brands was close to 25%, off slightly from prior year due primarily to increase margin expenses, much of which is timing related. The margin for the full year is expected to match prior year levels at approximately 19%. Revenues at FAS were in lined with the expectation. And the operation generated a modest profit. We expect similar results for the third and fourth quarters. I would now like to ask the operator to open the call to questions.
Operator: Perfect. So ladies and gentlemen, (Operator Instructions) And few people have queued up. Our first question is from Frederic Bastien of Raymond James. Please go ahead, Frederic.
Frederic Bastien – Raymond James: Good morning guys.
Scott Patterson: Good morning.
Frederic Bastien – Raymond James: One of the highlights for me was the 9% organic growth that you produced at FirstService residential. You mentioned some of the reasons that explained that growth. But I was wondering on a go forward basis, I mean, is the high single-digit, low double-digit organic growth is something that you believe is achievable going forward?
Scott Patterson: I think high single-digit Frederic is something that we would expect. And particularly with the developers back in the market which is a particular strength for us and are particularly in the high rise and active adult developments where we have a very specific offering and are recognized across North America is really providing a service that is second to none. But in general, we continue to win market share in that business. We’re the largest by a factor of three relative to our nearest competitor, and we’re able to leverage that scale to save our clients’ money. And it’s a compelling differentiator. And we will continue to win business as a result.
Frederic Bastien – Raymond James: Good. And how should we think about the margins on a go forward basis? I mean, if we look back at history, few years where you were above 9% in EBITDA margin, I mean, is that something that you believe is achievable over the next couple of years?
Scott Patterson: I think we will start to work our way back to that. This year will be in a seven range with the re-branding. But we will start to work our way back to that level as particularly again, as development comes back to market.
Frederic Bastien – Raymond James: Okay, great. And another question on the margin, but this time with respect to Colliers, they were at, if we look at the first half of the year, they were at 5% and – which is about 180 basis points higher than what you did in the same period last year. Is it reasonable to expect that Colliers can deliver similar margin gains in the second half which would now put you at around 8.5% for the full year?
Scott Patterson: I don’t believe we will get to 8.5 this year. We had strong finish to last year at Colliers, and we are making progress as you’ve seen quarter over quarter, and we expect to in the back half of the year, but we’ll be closer to 8.
Frederic Bastien – Raymond James: Okay. That’s helpful. Last one, with respect to M&A, are you still seeing a hefty pipeline with respect to potential acquisitions with Colliers?
Scott Patterson: There’s lots of activity in the commercial real estate space, so smaller tuck unders in markets that are a constraint in our existing presence, but also, interesting regional opportunities started to perk up as well, companies that we’ve had relationships with over a long period of time might diversify our service lines, offer something more to our clients, all of which are interesting, and active. So from our perspective, this year was the year of completing five separate acquisitions at Colliers and bringing Germany in as one operating unit which was a critical move for us. But we’re open to other potential moves if we can buy them and get a good return on our invested capital.
Frederic Bastien – Raymond James: Perfect. That’s good for me. I’ll turn it over. Thank you.
Operator: Okay. Our next question is from Stephen MacLeod of BMO, please go ahead, Stephen.
Stephen MacLeod – BMO Capital Markets: Thank you, good morning.
Jay Hennick: Hey, good morning.
Stephen MacLeod – BMO Capital Markets: I was just wondering, Scott, you mentioned in your prepared remarks, if you could just revisit the breakdown of the margin at the residential property management business in the quarter?
Scott Patterson: The breakdown?
Stephen MacLeod – BMO Capital Markets: Yes. You mention kind of – so we had the rebranding cost that were a weight on the margins, but then I think you also said that – was that 50 basis points was due to volume reductions and collections?
Scott Patterson: Right. Yes, sorry. So the $4 million in rebrand, IT and other onetime cost, we showed some improvement in our core management business really due to operating leverage. But the continuing decline in the collection revenues did dilute our margin by about 50 basis points.
Stephen MacLeod – BMO Capital Markets: Okay. And would you expect that just kind of going forward, you know, core management margins would begin to offset the declines on the collection side? Or is that something that you expect sort of –
Scott Patterson: We’re starting to see that and I think net of the rebrand cost this year will be close year-over-year in terms of our margin by the end of the year and see improvement in ‘14.
Stephen MacLeod – BMO Capital Markets: Okay. Okay, great. And then just to follow on from the last other questions with respect to M&A. Are there any other geographic locations where you have Colliers affiliates that you would like to see become company owned? Branches?
Jay Hennick: Well, that’s a very good question, Stephen. We are feeling, at Colliers, and I’m speaking for the management team there, we’re feeling like we have a very strong global platform as company owned operations now and the focus of the management team has diverted to strengthen, strengthening, strengthening in core markets, diversifying service lines, and adding talent in places where they think they could do better given the size of the market et cetera. So the focus is basically strengthening our existing platform which we now believe is by and large, complete. There are always opportunities with Colliers affiliates, but there’s also opportunities with other third party commercial real estate firms that might fit in to the UK, it might fit in to Canada, et cetera, markets in which we won and we can simply strengthen the business. So from a Collier standpoint, you know, I don’t see anything near term, in terms of adding another country. We’re happy having affiliates in Turkey, and Morocco, and places like that, but in core markets like the United States, Canada, Asia Pac, we think that it’s the essential to operate those as company owned operations.
Stephen MacLeod – BMO Capital Markets: Okay. That’s great. Thank you. And then just one sort of housekeeping question, could you just talk about your outlook for stock based comp, and corporate cost for the rest of the year or for the full year number, I guess?
Jay Hennick: Corporate costs should be in line. They’re going to be a little bit higher, we expect, than they were in this period, but they would be largely in line with what we reported last year. Maybe slightly higher based on incentive based compensation that would be pain in the event that we deliver earnings better than last year, we didn’t have any last year. And the stock based compensation would be similar.
Stephen MacLeod – BMO Capital Markets: Just similar to last year?
Jay Hennick: Okay, great. Thank you.
Operator: Okay. Our next question is from Varun Choyah of CIBC, please go ahead.
Varun Choyah – CIBC World Markets: Hello, good morning and thanks for taking my question. Just touching on the property services business, can you give a break down between the franchise in FAS in terms of the revenue split?
John Friedrichsen: FAS did a little less than 20 million this quarter.
Varun Choyah – CIBC World Markets: Okay. And I mean you mentioned before that you turned up slight profit at FAS, with regards to this business, are you just going to keep it running as is, or do you plan to like scale down the business, or are you just going to have it there for the cyclicality part with the same market?
John Friedrichsen: No, I mean we’re focused on rebuilding that business and growing it. It’s repositioned itself in a changing market. It has an excellent offer, we believe there is some positive signs in terms of business development and new customers. And we’re going to take it one step at a time and rebuild that business profitably. That’s the goal.
Varun Choyah – CIBC World Markets: Okay, fair enough. And a housekeeping question I have is the – amortization came in about 20 million and that was probably due to the, I guess accelerated amortization for the legacy brands because of the rebranding initiative? Is this a go forward number for amortization, or is this just like a onetime thing for this quarter?
John Friedrichsen: Yes, it’s just a onetime thing, totaling about 11 million.
Varun Choyah – CIBC World Markets: Okay, great. Thanks. And one final question on sort of the RPM rebranding, just a follow up that you mentioned that you have roughly 1 million in technology spend? Did I hear that correctly for next quarter?
John Friedrichsen: No. The whole expense around the whole rebranding effort will be less than a million in the third quarter and primarily relating to a signage that got held up and was not installed by June 27th.
Varun Choyah – CIBC World Markets: Okay, perfect. That’s all I got. Thanks a lot.
Operator: Your next question is from Sami Abboud of Scotiabank. Please go ahead, Sami.
Sami Abboud – Scotiabank: Hi, good morning, gentlemen, I’m filling in for Anthony Zicha. I have only one question. Regarding ancillary of revenues, could you please provide more color as to you know, where the weaknesses, and maybe what do you expect, what are the catalyst that you be looking for to see ancillary revenues grow year over year?
Scott Patterson: The ancillary is generally moved with an improving market with the exception of collection revenue which is a significant component of our ancillary revenue in a high margin component. So while our insurance revenues and our lock box and our transfer and disclosure revenues are all increasing with our management contracts. It’s been offset by collection revenues. But we’re starting to see the decline slope and I think you’ll – we’ll be back to a more normalcy as we get into 2014.
Sami Abboud – Scotiabank: Okay, thank you very much.
Operator: Our next question is from Brandon Dobell of William Blair. Please go ahead, Brandon.
Brandon Dobell – William Blair: Thanks. Good morning, guys.
Jay Hennick: Good morning.
Brandon Dobell – William Blair: In the Colliers business for a second, how do we think about broker additions in the second half or, I guess, as importantly probably 2014 as long as you got the geographies you’d like to be and you can get the people that you need to have on board and kind of in line with that, how should we think about the strategy around the property management opportunity for you?
Scott Patterson: Well, I will speak to broker additions. I mean, recruiting continues to be a focus really on all geographies, adding to service lines and in particular focusing on our major markets. In the past quarter, we added 60 producers around the world, 23 in the US and we’re on track. We have a very strong year in terms of recruiting. And retention, number one; recruiting, number two, continues to be a principle focus of that management at Colliers. Did you ask a question also, Brandon, about property management?
Brandon Dobell – William Blair: Yes. Does – as you guys filled out the transaction side of the operation globally, how do we think about translating that into some of the more recurring businesses especially ones focused on occupiers maybe?
Scott Patterson: Well, I mean, property management is a service line we’re committed to. It was up marginally during the quarter.
Brandon Dobell – William Blair: Okay.
Scott Patterson: And I think importantly, our margin was up and contributed to some of the overall increase in profitability. In North America in particular, we’ve, over the last few years, worked hard on our contracts and we had resigned from some small or less profitable contracts which has tempered our growth somewhat. But we’re through that and, again, we’re committed to property management and we expect that to be a grower for us moving forward.
Brandon Dobell – William Blair: Okay.
Jay Hennick: And the other thing on recurring revenue is obviously the corporate solutions business which continues to grow nicely. Obviously, we’d like it to grow a little bit faster. But over the last quarter, Colliers has realized some very significant contracts that are typically three- to five-year contracts. The market is in transition there. Clients are looking for alternatives and Colliers has, as we believe, picked up more than their share or traditional share of that business. So, that recurring revenue component of our business is up. And also, our valuation and real estate advisory business continues to be strong. We hope it’ll last. There’s a lot of markets in which now valuations have to be done on an annualized basis, so that creates a recurrability [ph] to those retainers. And for example, in markets like the UK and Canada and other places, building that relationship with the client and continuing to service them have helped to create still further recurring revenue.
Brandon Dobell – William Blair: Okay. Over in the FirstService brands part of the business, have you guys thought about allocating M&A capital in that part of the business or do you think you’ve got enough organic, I don’t know, runaway for growth that the capital’s better allocated elsewhere?
Jay Hennick: Well, it’s, again, a very interesting question. We talk about it all the time. There’s franchise opportunities that we see almost on a regular basis and we go back and forth. Right now, we have lots of runaway room in our existing franchise systems. Unless something came by that was very synergistic with our other property related services and something that we could ultimately scale, we are probably – I guess it’s fair to say that we’re probably more focused on our existing platforms rather than adding. But if something comes along that’s special, we’ll look.
Brandon Dobell – William Blair: Okay. And final one for me, in the property management part of the business now with the rebranding, what has that done for you guys relative to, I guess, conversations with prospective customers? Has it changed the conversation with some of the bigger owners or operators of multi-family or big communities out there? Has it made it easier or has it not changed your ability to go in and pitch for broader or more comprehensive deals, especially across state lines?
Jay Hennick: I think it’s still too early to say. But we are very optimistic about that because developers – and let’s just start with developers. Developers are now developing virtually across the US and it’s a lot simpler to say that the developer for service residential can serve you in California, Texas, Miami, and New York. Whereas, in the past, we’d say, well, in California it’s married [ph] and in Miami it’s confidential, et cetera, et cetera. That’s one of the obvious benefits and it’s still early to say, but we believe that that’s going to be a very positive. The other thing I think that – again, it’s early to say, but we’re very excited about it is, having one streamline brand allows us to do things direct to our clients on a better basis. And when I say direct to our clients, our clients are typically board of directors or institutions that own buildings for which we manage. But there’s also residences living in the – in those buildings that need things like mortgages and title insurance and homeowner’s insurance and things like that. And up until now, it’s been very, very difficult to access that client base. So, we believe that with one streamline brand, everybody accessing things through one website, be it regionally, but it’s one website gives us lots of opportunity in the future to capitalize on that channel that we’re just not capitalizing on today.
Brandon Dobell – William Blair: Okay, great. Thanks, guys. I appreciate it.
Operator: Your next question is from David Gold of Sidoti. Please go ahead, David.
David Gold – Sidoti: Hi, good morning.
Scott Patterson: Hey, good morning.
David Gold – Sidoti: Great. I just wanted to follow up a little bit the commentary in – particularly in North America commercial real estate. Given – it sounds like pipelines are holding up. But how do you think the second half of the year looks for both you and everyone else with the interest rate increases? Is it as simple as folks using the seasonally slow summer months to reset expectations or retrade, renegotiate or do you think there’s more of a pause to it than that?
Scott Patterson: We – our perception is that there is a pause, but it’s not material. And I think our view would be that the second half is going to look similar to the first half with investment sales and appraisal driving the growth and leasing continuing to remain flat at best at – occupiers are very reluctant right now to make long-term commitments. And in fact, we see leasing deals being deferred and a trend back to short-term renewals. So I think leasing is going to remain tepid. But in the second half, we think, for us, it will look similar to the first half.
David Gold – Sidoti: Have you seen a slowdown in deal activity related to interest rates? And also on the second quarter, was there some benefit in there for – given that presumably some had financing in place and maybe the interest rate increases put some to close more quickly?
Scott Patterson: We did not see any acceleration. And I – towards the end of the quarter, we did see some slowdown. I called it a pause in my prepared comments. But again, as we moved into July, it’s not material.
David Gold – Sidoti: Perfect. Thanks so much.
Scott Patterson: Welcome.
Operator: Our next – our last question, actually, is from Stephen MacLeod. Please go ahead, Stephen, at BMO.
Stephen MacLeod – BMO Capital Markets: Thanks. I just want to follow up quickly on [inaudible], I’m just wondering if you could provide just a little more detail about kind of what you’re doing with that business? And how are you positioning it to pursue sort of growth going forward?
Scott Patterson: Well, I think one of the key things that we’re seeing from our clients in that business, that they’re biggest overriding concern over the last couple of years, is around litigation and negative PR. The regulation has been elevated, process, requirements around foreclosures had become onerous. And we have positioned our offer around risk mitigation and service excellence. And the risk mitigation piece is really around focusing on our process is in workflow to ensure that there are no gaps that exposed our clients. And that is being recognized by our existing clients and by potential new clients. And so, that is the focus. It’s around risk mitigation, and then across to all our businesses service excellence is a focus. So I hope that answer your question.
Stephen MacLeod – BMO Capital Markets: Yes, and maybe, can you just elaborate a little bit on the risk mitigation side of things?
Scott Patterson: Well, again, our clients are under incredible scrutiny. And litigation is something that they are dealing with every day. And to the extent, our processes, our services can help reduce that. That is a big, big benefit for them.
Jay Hennick: So I think I can add an example or two maybe. So in different geographic regions, municipalities are levying fines on properties of our clients. We have a process that where we inspect those properties on a weekly basis, we have technology that assesses whether work is needed on the exterior of a property. And then we will immediately get client approval to go and rectify the problem before the fines get levy. That’s just one example. There’s also, as Scott was talking about litigation, which are things that will happen in the vacant property that results in litigation, our client now being the owner of the property has to defend that litigation. If we’re there on a regular basis, fixing a deficiency, then the litigation risk is minimized. And those are just two examples to try and put some color to the issue.
Stephen MacLeod – BMO Capital Markets: Right. Okay, no, that’s helpful. Great. Thank you.
Operator: Okay, so there are no other questions at this time.
Jay Hennick: Okay. Ladies and gentlemen, thanks for joining us. We think it was a good quarter. We hope for better in the subsequent quarters. And look forward to having you all participate. So thanks for joining us.
Operator: Ladies and gentlemen, this concludes the second quarter investors’ conference call. Thank you for your participation and have a great day.